Operator: Ladies and gentlemen, thank you for holding, and welcome to the Wesfarmers Quarterly Retail Sales Briefing. Your lines will be muted during the briefing. However, you will have an opportunity to ask questions immediately afterwards and instructions will be provided on how to do this at that time. This call is also being webcast live on the Wesfarmers website and it can be accessed from the homepage at wesfarmers.com.au. I would now like to hand the call over to the Managing Director of Wesfarmers Limited, Mr. Richard Goyder. Thank you. Please go ahead.
Richard Goyder: Well, thank you and good morning, everyone. Thanks for joining us for the retail sales briefing relating to the third quarter of the 2015 financial year. And I’m joined by Terry Bowen, our group’s Finance Director here in Perth. I will start off by briefly providing an overview of our sales results and then there’ll be plenty of time for any questions you may have once I’ve done that. Before I comment on the sales performance of our retail divisions in relation to export coal pricing we put a release out today, export metallurgical coal pricing continues to be weak with the June 2015 quarter’s export. Met coal pricing settlement outcome representing a small decline from outcomes achieved over the past three quarters. For the April to June 2015 quarter, the weighted average US dollar free on board prices for new contract prices of Curragh metallurgical coal, that’s hard coking, semi-coking and PCI, will decrease by approximately 6% as compared to the January to March 2015 quarter prices, with the pricing outcome in line with recent market price settlements. Approximately 70% of deliveries in the April to June 2015 quarter are forecast to be at the new contract prices with the balance at carryover prices and subject to actual contract deliveries for the April to June 2015 quarter. As previously indicated, we continue to focus heavily on cost control at both our mines. Now turning to sales results for the third quarter of the 2000 [ph] financial year for our retail businesses; firstly, this is a slightly complicated quarter given the earlier timing of Easter this quarter compared to the comparable quarter last year. The Easter adjustments made to comparable sales therefore reflect our informed view of this timing impact. So in summary, the sales results for the third quarter were pleasing. The focus of our retail businesses on providing increased value to customers through ongoing reinvestment of productivity improvement into lower prices and better service continued during the quarter. Coles headline food and liquor sales growth for the quarter was 5.4% reflecting further investment in price and continued improvement in the quality of fresh food. Bunnings recorded total sales growth of 12% for the quarter, continuing to deliver on its strategic agenda and expanded its store network. Officeworks growth in total sales for the quarter of 9% was driven by the sound execution of its every channel strategy. Kmart’s total sales growth accelerated to 10.9% during the quarter, supported by good performance in core ranges and increased contributions from new space and refurbishment activity. Target’s total declined 1.6% during the quarter, a result of higher deflation reflecting the ongoing transition of its pricing strategy which more than offset increased customer transactions and units sold. I’ll now talk through some of the divisional detail. Firstly Coles Food and Liquor, headline food and liquor sales for the third quarter were $7.1 billion up 5.4% on the previous corresponding period. Food and liquor sales for the financial year-to-date increased to 5.4% to $22.9 billion. Coles recorded comparable food and liquor store sales of 3.8% and excluding liquor, comparable food store sales increased 4.5% in the quarter. For the financial year-to-date, comparable food and liquor store sales increased 4% and comparable food store sales increased to 4.7%. After adjusting to the later timing of Easter in the 2014 financial year, both comparable food and liquor store sales and comparable food store sales for the quarter were 40 basis points lower. Coles experienced food and liquor price deflation of 1% during the quarter reflecting continued investment in lower prices, which was partially offset by tobacco excise increase and meat cost price increases as a result of tighter supply conditions and increased overseas demand. Coles continue to invest in better value during the quarter, lowering the price of over a 150 items as part of our everyday value program including household staples such as bread, cheese, sugar and rice. Following the completion of the quarter, Coles’ focus on supporting innovation in the Australian food and grocery industry continued with the announcement in April of the Coles Nurture Fund. This initiative will provide $50 million over five years in grant and interest-free loans to help small Australian food and grocery producers and farmers, and manufacturers develop new market leading products, technologies and processes. Coles continue to improve and optimize its store network opening 6 supermarkets and closing 2 during the quarter, taking the total number of super markets to 775 at the end of the quarter with 500 of those in the renewal format representing 65% of the fleet. In the liquor business, Liquorland’s Low Price campaign drove increased customer numbers and volumes in the quarter but this growth was more than offset by price reductions made. Liquor continued to reset its range and reshape its store network with eight new liquor stores opened, eight liquor stores closed and one hotel closed during the period. At the end of the quarter, Coles had a total of 853 liquor stores and 90 hotels. On convenience, Total Coles Express sales, including fuel, for the quarter were $1.6 billion, a decrease of 16.6% on the previous corresponding period driven by lower fuel prices which more than offset higher fuel volumes. Total sales for the financial year to date decreased 9.4 per cent to $5.6 billion. Headline fuel volumes returned to growth during the quarter as the capping of supermarket docket discounts to a maximum of $0.04 per litre from one January 2014 is now fully reflected in the prior corresponding period. Headline fuel volumes increased 3% and comparable fuel volumes increased 0.04%. For the year-to-date, headline fuel volumes decreased 2.3% and comparable fuel volumes decreased 4.7%. Convenience store sales excluding fuel sales grew by 7.7% for the quarter. Comparable store sales grew 5.2% with the strong result supported by sustained focus on improving the merchandise offer for customers. For the year-to-date convenient store sales were up 10.3% and up 7.2% on a comparable store basis. Coles Express to open two new stores during the quarter bringing the total store network to 654 stores. Now turning to Home Improvement and Office Supplies, and firstly Home Improvement. Total sales for Home Improvement for the quarter of $2.3 billion were 12% above the previous corresponding period. Total store sales for the quarter grew 11.8%, while store-on-store growth was 9.4%. For the financial year-to-date, total sales increased to 11.9% to $7.3 billion. Total store sales grew at 11.8% in the year-to-date, while store-on-store growth was 9.2%. Stronger sales growth was achieved in both consumer and commercial areas across all merchandizing categories and within all trading regions. Bunnings’ sales performance was pleasing, maintaining the positive momentum in the business while taking advantage of good trading conditions or reflecting a continuing focus on the strategic agenda of delivering more customer value, better customer experiences, extended brand reach, expanding commercial and increasing merchandise innovation. During the quarter, four Bunnings Warehouses and one smaller format store were opened. At the end of the quarter a further 21 stores were under construction. And now to Office Supplies, total sales for the quarter were $485 million, up 9% on the previous corresponding period with positive sales growth recorded both in stores and online. For the financial year-to-date total sales increased to 8.2% to $1.3 billion. The positive trading momentum maintained within the business over number of years is very pleasing. The ongoing work within Officeworks to improve the customer offer continues to strong results and the investment made over the past 18 months in upgrading the store network, as well as the Officeworks website has been received favorably by customers. The business remains focused on driving its every channel strategy and strengthening its position as the one stop shop for home, business and education customers. During the quarter two Officeworks stores were opened. And now turning to department store retailing, firstly Kmart, Kmart’s total sales of $937 million for the quarter were 10.9% above the previous corresponding period with comparable store sales increasing 6.3%. Adjusting for the later timing of Easter in the 2014 financial year, comparable store sales increased to 5.5% for the quarter. For the financial year-to-date total sales increased 6.8% to $3.4 billion, while comparable store sales increased 3.5%. The strong sales performance during the quarter is driven by core ranges in home, seasonal apparel and Easter related ranges. Kmart’s focus remains on continuing to provide value to customers that exceeds their expectations, dropping prices on everyday items across the product range in February. During the quarter, Kmart completed 8 store refurbishments and opened two new stores. And finally to Target, Target’s total sales is $663 million for the quarter were 1.6% below the previous corresponding period with comparable store sales decreasing 1.9%. Adjusting for the later timing of Easter in the 2014 financial year, comparable store sales decreased 3.2% for the quarter. For the financial year-to-date, total sales decreased 1.7% to $2.6 billion, while comparable stores sales decreased 1.2%. Target’s sales performance reflected the continued transformation of the business away from a culture of over promoting and over ordering to one of providing customers with great quality, lower prices every day. As Target continues to lower prices and improve the fashion, style and quality of its products, we are seeing more customers and selling more units, but this volume growth is yet enough to offset the investment we are making to deliver lower prices every day. Positive results were recorded during the quarter in ranges where we reduced pricing early in our transformation program, such as children’s wear, with unit and transaction growth more than offsetting lower prices during the quarter. During the quarter, Target opened one new store and closed two. So in summary, we’re generally pleased with the result delivered this quarter, our retail divisions remain focused on delivering increased value to our customers and are well placed for the balance of the financial year. So with that, Terry and I will now be happy to answer any questions that you have.
Operator: We will now begin the question-and-answer session. [Operator Instructions] We do have our first question here from Mr. Andrew McLennan from Commonwealth Bank. Please ask your question.
Andrew McLennan: Good morning everyone.
Richard Goyder: Hi, Andrew.
Andrew McLennan: Look, just two quick questions from me if I could. First of all, the fact that you’re cycling out of the fuel promotional program over the last 12 months and seen a recovery back in volume growth. But should - even though it is minor the improvement is - in terms of a number, but the improvement seems to be quite substantial. Shouldn’t that also be reflected in sort of a more of a tailwind within the Coles business? And secondly, if I could just follow on liquor performance clearly looks pretty weak, but in line with previous quarters. I’m just wondering - we heard some pretty tough feedback from the industry. I’m just wondering if you can flag whether or not that weaker performance in liquor was related to industry-wide factors or whether it’s actually Coles specifically?
Richard Goyder: Yes Andrew, I mean, I don’t think you saw a big impact in the supermarkets of the decreased volume on food, a decreased volume over the last three or four quarters in any case. I think that’s because of the better fresh offer and the better pricing architecture in our supermarkets. So I mean we’re pleased to get the movement up in volume in fuel pricing. But I don’t think there’s a huge correlation there. In fact I think our docket redemptions probably went down a bit in the quarter.
Terry Bowen: On lower price is the last one…
Richard Goyder: Yes.
Terry Bowen: …as in lower fuel prices.
Terry Bowen: Sorry on Liquor, what was your question?
Andrew McLennan: Yes, I was just saying that we heard some pretty tough - or feedback of tough sales growth across the industry, particularly within beer sales. I’m just wondering how much of that difficult sales performance is company specific versus industry wide?
Richard Goyder: I’ll get Terry to answer it in more detail Andrew. But certainly, that feedback would be consistent with what we saw in First Choice. But I’ll let Terry answer it in a bit more detail.
Terry Bowen: Yes I think, I mean, if we look at our scanned data information Andrew, our market share appears to have stayed relatively stable over that period, so it didn’t move. There was no doubt wine performed strongly beer not so strongly, so that’s consistent with that. We’ve had some pretty variable weather over the quarter as well, so we had quite a bit of rain on the East Coast and whether that was a factor or not who knows. But I think perhaps the feedback you’re hearing is pretty consistent with what we’ve seen in our business.
Andrew McLennan: Okay. Thank you.
Richard Goyder: Thanks.
Operator: Your next question comes from Mr. David Thomas from CLSA. Please ask your question.
David Thomas: Hi guys. I was just trying to explore a little bit further the everyday value in the success you’re seeing around that. Obviously, you put another 150 items into it. Can you give us some color on how that’s going in terms of take up and repeat purchasing and sales or, at least, anything you can give us to that? And also and perhaps a percentage of now that products are on that everyday value program.
Richard Goyder: Yes. Hi, David, again, Terry might want to add some color to this. I mean we’ve - if we dissect the quarter’s performance and we take out the tobacco excise movements, not just this quarter, but in previous quarters and the high meat prices, we had pretty strong performance in grocery and another strong performance in fresh. So that would indicate that there was a good customer response I think on that front generally. But don’t - I mean, don’t assume that we’ve just moved to an everyday low price. But we’ve had strong promotional campaigns during the quarter as well and obviously that’s providing - those promotions are providing good - great pricing for our customers. Terry, do you want to add anything to that?
Terry Bowen: Yes, I support that. I think we often talk about the 8000 items that we check week and that represents something like about 70% of the volume we put through. We have another subset within that of about 1000 key value items that represent a big percentage of the weekly basket for a lot of people. And indeed a lot of our focus on the everyday value items has gone in to those KVIs, we think it’s really important to offer real genuine everyday value to customers and get price trust, which we’ve spoken about for years now. So we were really pleased with this quarter’s result on that front. We saw if anything on those 1000 key value items, an improvement of our value position from where it’s been, and across the overall 8000 items pretty constant. We don’t break out the percentage of everyday items and promotional program sales, I don’t think we will. But what we would say is that, I think, and it’s consistent with our deflation numbers, the value that Coles is offering customers now is as strong as it’s been, and it will continue to be strong, but we’ve still got more work to do with that as John said. So - and it’s clearly, I think, showing up in our volume numbers as well and you can see that pretty evidently. So overall a pretty good quarter in what was at some moving parts around meat and cigarettes as Richard said.
David Thomas: Okay thanks guys. And just another quick one, I was wondering if you could give any color, particularly in the home improvement and maybe discount department stores on the currency and impacts that might be seen around and obviously margins are something that are not necessarily discussed today. But can you give any color on how you are seeing the currency impact of those businesses, if at all?
Terry Bowen: In home improvement, David, our cost price inflation, there was a bit of cost price inflation, but we absorbed most of that in our pricing, and that’s consistent with Bunning’s strategy about everyday - about value for our customers. In our discount department stores, we’ve obviously got a hedging program in place. There are other offsets like the price of cotton, the price of freight, oil prices that are mitigating what - and packaging costs that are mitigating what’s been the sort of apparent, the move in currency. So, again, we have seen a small but not significant impact I think in our cost prices. But we’ve invested heavily in pricing in Target, as we - as I indicated before, and continue to invest heavily in pricing in Kmart. And I think Guy reduced pricing on a whole lot of product ranges in February.
David Thomas: Sounds like him. Okay, thanks guys.
Operator: Your next question comes from Mr. Tom Kierath from Morgan Stanley. Please ask your question.
Thomas Kierath: Morning guys, I’m assuming that you can hear me.
Richard Goyder: Yes. Yes can you hear us Tom?
Operator: Your line is open. Please ask your question.
Thomas Kierath: Richard, it’s Tom Kierath here. Can I ask my question?
Richard Goyder: Yes, hang on Tom, can you hear us?
Thomas Kierath: I can, I can.
Richard Goyder: Okay, go ahead, yes.
Thomas Kierath: I’m sure Grant will jump back on.
Richard Goyder: Okay.
Thomas Kierath: I just wanted to ask, in Coles, especially the tobacco category, can you kind of talk about what sort of value growth you’re seeing there. I know that there has been some excise increases, which is kind of, I guess, skewed the underlying, or the overall performance in like-for-like. Can you kind of talk about what value growth you are seeing in the tobacco category?
Richard Goyder: Value growth or volume growth?
Thomas Kierath: Well either, I presume price is off at about 15%, but either.
Richard Goyder: Yes, I mean over the quarter, the sales value went up and volume went down.
Thomas Kierath: Are you able to kind of strip out what the impact of tobacco is? Just so that we can get a sense of what’s happening at an underlying level?
Richard Goyder: If you look at - yes we’ve attempted to do that. If you look at this quarter compared to the last quarter and you strip out tobacco then the underlying comp sales growth was about 4.7%. So I think that’s the right math.
Thomas Kierath: Yes. Versus, sorry - versus the last quarter of all, or?
Terry Bowen: Yes put another way Tom, if you look at tobacco - if there was no tobacco and you just looked at food sales, our comps would have been marginally higher than what we’ve reported. So in other words, tobacco overall was a drag on the food sales.
Thomas Kierath: Right, in this quarter because…
Terry Bowen: In this quarter.
Thomas Kierath: …because you’re lacking the excise increases from last July?
Terry Bowen: That’s correct.
Richard Goyder: Yeah.
Thomas Kierath: Okay, thanks. That’s the only question I had. Thank you.
Richard Goyder: Thanks, Tom. Michael, do you want to have Michael [indiscernible] if you want to ask a question?
Unidentified Analyst: Hello, Richard, can you hear me?
Richard Goyder: Yes, we can.
Unidentified Analyst: Okay. It’s a bit bizarre today, just a question on…
Richard Goyder: [indiscernible].
Unidentified Analyst: Are you still there?
Richard Goyder: Yep.
Terry Bowen: Yep.
Unidentified Analyst: Yes. Just a question on pricing in supermarkets, if I can. So deflation now has been fairly flat on your numbers for the past eighteen months or so, there seems to have been a big step up in price investment in the market in late March. Is that consistent with what you’ve seen and what do you expect to see on deflation going forward for the next quarter or two?
Terry Bowen: Our inflation - deflation number accelerated in the period as we’ve said. In terms of what we’ve seen generally on our level of price competitiveness in the market, as I said, the key thing that we would point to is that despite what may be some - the odd bit of analysis in there on relatively small baskets, on the numbers that we look at which we think are the best set of numbers. On KVIs we’ve accelerated our value in position over that quarter relative to the beginning of the quarter. And indeed on the broader - if we looked at these broader 8000 items and 70%, we’ve basically seen a fairly flat performance on our relative competitiveness. So I think that’s what we would point to.
Unidentified Analyst: That’s the way you look at it, okay. Can I dive into that in a little bit more detail? When you talk about that relative change, presumably that’s on a sequential quarterly basis, so this quarter versus the previous sequential quarter?
Terry Bowen: Well, we’re looking at it every week Michael. And I guess the important thing is that, if we’re looking at the types of items we’ve been investing in, they tend to be those items that customers are putting in their basket every week. And so that’s been a strong focus of ours and as I say, I think that in looking at that we’ve seen an improvement, not only on week-on-week, as over the quarter if we look at the beginning of the quarter and the end, but also against last year. So put another way, I mean Coles, now this isn’t new for us. Coles, over the last five or so years has seen now deflation to the extent that a household would have saved about $600 on an annualized basis through shopping at Coles. So it’s just part of what we are doing. But importantly, I think the key thing we would also point out is that, our promotional program has also stepped up over that period of time and remains strong in this quarter as well, yes.
Unidentified Analyst: Yes okay, that’s helpful. And within those 1000and broader 8000 product baskets, presumably you include promotion, or is that only shelf price?
Terry Bowen: No that, obviously promotion is a big part of what we do so definitely promotion is in those numbers.
Unidentified Analyst: And are you able to comment on whether you think your 1000 product basket and broader 8000 product basket are the cheapest amongst the full line supermarkets?
Terry Bowen: Well, as I said, we haven’t seen any, as I said on the 1000 items, if you want to categorize full line, although we would say obviously the competitor set is much broader than that. But we’ve seen an improvement in our 1000 items and the 8000 items is basically stable on a relative price position which is as I said, we’ve been saying for a while. We continue to believe this, that Coles, in that subset, and it is perhaps not the subset you would focus on necessarily, is that we would, that we are offering the best value in Coles, and continue to offer the best value in Coles, and continue to offer the best value in Coles.
Unidentified Analyst: Okay. All right. Great. Thank you.
Operator: And your next question comes from Mr. Craig Woolford from Citigroup. Please ask your question.
Craig Woolford: Good morning Richard, good morning Terry. If I can just ask a question around pricing in Coles. I wanted to clarify the online pricing policy. Has Coles moved to their online pricing to match in store?
Richard Goyder: No. We have done a lot of work online in the quarter through more delivery slots, through various promotions, specific online promotions, including from time-to-time free delivery. We have got more click and collect places Craig, and we actually had very strong growth in our online - Coles online business for the quarter. But importantly I think, John Durkin said to you all that we are looking to grow online, but we are looking to grow it profitably, and - but customers are obviously reacting favorably to our offer at the moment.
Craig Woolford: Sure, fair enough. The other interesting observation if we do, it’s probably not quite mathematically correct, but if we do look at comparable store sales for say the food and liquor division Easter adjusted and subtract inflation or deflation. The volume growth has slowed for Coles supermarkets from what I can ascertain, is that the correct conclusion, and what would you attribute to the slowdown in volumes for Coles supermarkets?
Terry Bowen: Yes I mean, it is marginal in the quarter and I guess what we saw in that period is obviously tobacco from an overall sales point of view is that there was a drag, Craig. So I think the tobacco excise is a bit polluting in that period, and you’re not, you’re basically not playing with relatively small numbers in that piece of analysis. So I think we would categorize it probably more so that not a lot of change, as opposed to slowing down, once you start to pull out things like tobacco relative in the period.
Craig Woolford: But with the tobacco drag, you said it was a slight drag on Coles, because I would have thought prices up 15%, so volume must have been down 15% in tobacco or something like that to create a distortion.
Terry Bowen: It’s the quarter year cycling Craig, relative to the previous, this time last year. And you have also got a bit of a fuel impact still in last year because even though we stopped the promotions on the 31st, it as was a bit of carryover for about a month. So you have got a few bits and pieces as I said, you are trying to pull apart 0.1%s and 0.2%s here and I think in any quarter you are going to get volatility or variability that will more than offset that. If we look at key line items such as grocery or fresh, there’s no concerning trends in that quarter. There’s clearly, it’s a competitive market and we are doing our best to invest in value, to reward Coles customers.
Craig Woolford: Okay. Thanks, guys.
Richard Goyder: Thanks, Craig.
Operator: And your next question comes from Mr. Ben Gilbert from UBS. Please ask your question.
Ben Gilbert: Good morning, Rich and Terry.
Richard Goyder: Hi, Ben.
Ben Gilbert: Just first question for me, just wanted to understand of those 1000 KVIs just how far down the path you are in terms of [indiscernible] in those 1000 in terms of - in terms of sort of the number of skews and it feels like, as you said, you probably did pick that up a bit towards the end of the quarter, was that sort of a plan, or I suppose a response to the rhetoric coming from the competition out there in the market?
Richard Goyder: I think, the whole value - yes Terry has just said Ben, and in fact I was looking at some numbers today that says since the first quarter of 2010 we have had price deflation every quarter. So we have been doing this for at least six years and probably a bit longer. And I think John fairly firmly articulated the strategy of the business at our briefing day, or at the Coles day some time ago. So I think our strategy is very clear, very consistent that we want to offer great everyday value to customers, have price trust as Terry just said, and we will continue down that path, we will reinvest the efficiencies we are getting in the business because we think it’s necessary and our customers are reacting well to it. So I wouldn’t call that any specific action from any specific competitor as driving. I would say we have been doing this for six or seven years, in fact we knew we had to do it at the time we acquired Coles and we will continue to do it.
Ben Gilbert: And the second one for me I know obviously we don’t go through and talk about month-to-month performance but did you see pretty consistent trends over the quarter or was it…?
Richard Goyder: Yes remarkably - it’s remarkably consistent. I think there’s still pretty good momentum in the business. As Terry said there’s Easter timing, there’s excise, there’s things like meat prices, there’s fluctuations in various fruit and vegetable prices and things like that but the underlying business has been I think very - pretty consistent and as I said there’s good momentum.
Ben Gilbert: Great. The final one from me, just in terms of the discretionary business in terms of discount department stores, obviously Kmart a phenomenal result. Just wondering how you’re feeling about inventory for those two and particularly at Target at the moment?
Richard Goyder: Yes, well the Target inventory is in better shape than it was this time it’s a bit slower, it’s less of it and it’s in better shape than it was this time last year and Stuart and the team have got a program to continue to reduce the level of inventory we’ve got in the business. In Kmart notwithstanding the increased sales and the new stores, the Kmart inventory’s in very good shape at the moment.
Terry Bowen: On a relative - to add to that, on a relative basis we still see the opportunity if we look at Kmart’s inventory vis-à-vis Target’s inventory, it still says well we’ve made some good progress in Target. There’s a lot more we can do. Kmart operates on a much better stock turn still than Target at the moment. And that’s one of the opportunities we have in that business that we’re driving towards.
Richard Goyder: Ben, just as a general comment, we’ve been wanting to see for some years as you know, an increase in the revenue line at Kmart and it’s starting to come through strongly now obviously. We’re seeing - we’ve indicated the challenge at Target which is to reduce pricing on everyday items and get customers to understand that we want more customers, more volume. But we are - I think we’re on a similar journey in Target that we’ve been on in Kmart and indeed we had Archie out last week and Archie would say that there’s a lot of similar, we’re reaching some of the goals that Kmart did early on. And now in Target, we have a heck of a lot more to do but we’re seeing some positive signs in the areas, we want to see positive signs.
Ben Gilbert: That’s fantastic. Thanks guys. I appreciate it.
Richard Goyder: Thanks, Ben.
Operator: And your next question comes from Mr. Grant Saligari from Credit Suisse. Please ask your question.
Grant Saligari: Thanks. I’ll have another shot. So Target…
Richard Goyder: Without the music this time Grant.
Grant Saligari: I hope so. So Target I guess what perplexes me a bit that you could perhaps comment on is the sales decline accelerated again in the quarter. The commentary says that the customer numbers and the units were up so I guess they’re quite positive signals so I guess is there another - I guess what I’m trying to understand is, is there another step down that’s occurring in pricing through Target or are those comments on customers and units sort of a little more general than specific.
Terry Bowen: We saw in Target, I guess in those stores where we have got the renewal program going on some really positive signs. I guess there’s no doubt, I don’t think you could shy away from this, we’ve had a very strong opening program from Kmart and they’ve put out the best part of 10 stores. So if you think about a network of 200 stores that’s going to have an impact across the business. So we’ve certainly seen some cannibalization and indeed some of the categories that Kmart did well in, Target had some more difficult times. So I think there’s a bit of cannibalization in these results there’s no doubt. And there’s I think some positive signs in Target as we said beyond that. There’s still a lot more to do in Target and I think the pricing position as you said I don’t - it’s stepped down and we continue to see growth in our, if you like, our full line sales - full price sales rather than needing promotion or clearance activities to move the product but it’s fair to say that price deflation that’s been required in that environment still hasn’t offset - hasn’t been offset by enough volume at the moment but the trend in parts looks promising.
Richard Goyder: Grant, what gives us some confidence is that the product areas where we moved earlier on pricing we’re starting to see some sales growth now. So I talked earlier about childrenswear is going well. A key item for us in - range for us in Target is womenswear and we haven’t had that turnaround in womenswear yet and we need to get it but if you go and look at our range, it’s a heck of a lot better than it was and we’re pretty confident that it will come.
Grant Saligari: Okay and just quickly if I could just with Coles, are you able to comment on market share within food, within supermarkets through the quarter? Did it change material up, down, sideways?
Richard Goyder: It’s been pretty stable…
Terry Bowen: Yes, now turning up over the quarter.
Richard Goyder: Yes…
Terry Bowen: But yes, and as Richard said, didn’t show a lot of variability.
Grant Saligari: Okay. All right, thank you. I appreciate that.
Richard Goyder: Thanks Grant. Sorry about that before.
Operator: There are no further questions at this time. Please continue Mr. Goyder.
Richard Goyder: Okay. Listen, apologies for the problem halfway through. The call is available on - was webcast so is available on our website so if you missed anything go there and if there’s anything you’ve got to follow-up, please contact Mark and his team and he can make sure we respond if there’s anyone got any questions. Otherwise have a great day.
Operator: That does conclude our conference today. Thank you for participating. You may all disconnect.